Anthony Kirby: Good morning, everyone, and thank you for joining us for the Presentation of Serco's 2025 Full Year Results. I'm Anthony Kirby. I'm the Group Chief Executive, and I'm extremely proud to lead what I believe is one of the best companies in the world. My more than 50,000 great colleagues deliver mission-critical services in some of the most demanding environments globally. And their commitment, skill and resilience continues to inspire us every day. Nigel Crossley, our Group CFO, and I are delighted to be able to present the strong set of results on their behalf. But before we begin, it would be remiss of me not to recognize Nigel's outstanding contribution to Serco at this stage, more than 11 years of dedicated service as well as 5 as the Group Chief Financial Officer. And on behalf of the Board, the Executive Committee and all of his colleagues across Serco, I want to offer my sincere thanks and wish you, Nigel and Lorraine a very happy, long and safe retirement. I'd also like to take this opportunity to introduce Mark Reid, who is with us in the room this morning, who will succeed Nigel as the Group CFO, joining the Board in the coming days. But before we go on, I must refer you to the disclaimer, which is in the presentation pack. As ever, the running order will start with me giving you an overview of our 2025 performance, the key themes that shape the year, the highlights and the progress that we've made and the momentum that we're carrying into 2026. I'll then hand over to Nigel, who will take you through the financials in more detail. And after that, I'll return to talk about how we're sharpening Serco's strategic focus and strengthening our platform for future delivery. We'll then open up for Q&A. So let me begin with an overview of what has been a strong year for Serco. 2025 was a year that was defined by disciplined execution, strong operational delivery and continued strategic progress. Across the organization, be that in Defence, Justice & Immigration or Citizen Services, we delivered with professionalism, pride and purpose. Our full year performance in 2025 has been strong and positions us well for '26. We delivered robust revenue and profit performance. And critically, we've done so while maintaining our focus on competitiveness, operational excellence and growth. You've heard me speak previously about our focus on safe, sustainable, profitable growth. That focus remains absolute and is clearly reflected in our results. Our deliberate multiyear investment in Defence expansion has proven effective. We've deepened our strategic intent, and it's a sector where our momentum is unmistakable. Alongside Defence, we have sharpened our attention on Justice & Immigration and Citizen Services, and I'll come back to talk about more in detail on those 3 sectors following Nigel. But turning to the headlines for a moment. Revenue for the year was GBP 4.9 billion, up 3% at constant currency. Underlying operating profit was GBP 272 million, delivering a margin of 5.6%. Cash conversion was again exceptional, reflecting disciplined working capital management. And our order intake was GBP 5.5 billion, representing a book-to-bill of 114%, with more than 2/3 coming from our Defence business. This performance demonstrates the trust our customers place in us and reinforces the momentum that we carry into 2026. We continue to drive progress across our 3 strategic mutually reinforcing pillars: growth; competitiveness; and operational excellence. Starting with growth, our new business win rate for the year was over 30%, reflecting disciplined bidding and a strong competitive position in our core markets. In particular, we secured around GBP 3.5 billion of defense contracts, underlining both the strength of our Defence platform and our ability to deliver complex mission-critical services. We also ended the year with a GBP 12.1 billion pipeline, the highest we've seen in a decade and which again reinforces the strength of the opportunities that we see ahead. Turning to competitiveness. We've strengthened our delivery quality and our efficiency. Margin progression reflects that discipline as do the partnerships that we've secured such as with Mubadala in the Middle East. In Asia Pacific, our portfolio optimization and productivity performance, along with the disposal of our Hong Kong business has made the region sharper and more competitive, helping to grow margins year-on-year despite the end of the Australian immigration contract. Under operational excellence, the rapid integration of MT&S has been a major achievement in 6 months. We've transferred almost 1,000 new colleagues into the organization, aligned systems, embedded common ways of working and begun to win new work together. MT&S has strengthened our Defence platform with deep simulation, mission training and satellite ground and network capability. Across the wider portfolio, our contract retention rate remains high at over 90%. At the same time, we're building a safer, more engaged organization with safety incidents reduced by 22% year-on-year. Colleague engagement sustained at 70 points for the third consecutive year as well as continued colleague engagement. And these results reinforce the quality and dedication of our people. Supporting them, investing in their safety and well-being and ensuring that they have what they need to succeed remains a core business imperative. It's central to how we deliver for our customers and how we will retain more business. This focus on our people, our culture and how we operate is also being recognized externally. During the year, our performance has been acknowledged by a range of independent organizations, but the standout for me was being named as Britain's Most Admired Companies. That recognition reflects, not just what we deliver, but how we deliver it, the strength of our leadership teams, our culture and the trust we build with our customers and the communities in which we work. Ultimately, it reinforces that we are building a business. Our colleagues are proud to work for, our customers are proud to partner with and our investors can have confidence in, grounded in strong performance and responsible delivery and doing the right thing always because it's always the right thing to do. Our performance in '25 demonstrates consistent progress across key financial metrics. Over the last 5 years, we've delivered revenue CAGR of around 5% and profit CAGR of around 11%. Over the period, we've doubled earnings per share to 16.93p. And over the same 5-year period, we've also demonstrated disciplined capital allocation. Of the GBP 1 billion of cash generated, we've invested in targeted M&A and returned surplus cash to shareholders, again, as demonstrated this morning with the announcement of a further GBP 75 million share buyback. Not only does this reflect our approach to good capital allocation, but it also showcases the sustained progress that we've made over the last 5 years. As a business, we are more increasingly predictable, more competitive and well positioned to convert opportunities into sustainable long-term growth over the years ahead. And with that overview, I'll now hand over to Nigel.
Nigel Crossley: Thank you, Anthony, and good morning to everybody. Let me take you through the financial -- sorry, let me take you through the performance for 2025, a year in which the group has demonstrated strong momentum despite a number of anticipated headwinds. Revenue increased to GBP 4.9 billion, up 3% on a constant currency basis, reflecting good underlying performance and the benefit of the MT&S acquisition. Organic revenue growth was up 1%, in line with where we guided the market. And it's been led by double-digit organic growth in Defence, partially offset by a reduction in U.K. and Europe and Australia immigration revenues. Underlying operating profit was GBP 272 million, which is up 1% on a constant currency basis. The margin of 5.6% remains in the middle of our target range of 5% to 6% and reflects execution discipline and productivity improvements, offsetting the Australian immigration contract exit and higher national insurance costs in the U.K. And return on invested capital continues to be strong at 26%. It's worth remembering that the significant part of invested capital relates to goodwill and acquisition intangibles. And we run the business using just GBP 0.1 billion of operational invested capital, which emphasizes the capital-light nature of our business model. And I'll now move on and provide more color on the operational performance for each of the regions. So starting with North America, who delivered another strong performance and continues to be an important contributor to the group's growth targets. Revenue increased by 10% to GBP 1.46 billion, driven by 4% organic growth and a 9% contribution from the MT&S acquisition, partially offset by a 3% adverse currency movement. Organic growth was led by defense, where significant order intake achieved in 2024 is flowing through to this year's revenue. We saw higher activity across defense personnel services, mission training and increased demand for IT network and infrastructure services for the U.S. Navy. Underlying operating profit increased 5% to GBP 144 million, including a 3% negative impact from the weaker dollar. The margin stayed around 10% despite the impact of mobilization of new defense contracts and the one-off MT&S transaction integration costs of GBP 6 million. These costs were anticipated and as the contracts mature, margins will recover, supported by increased efficiency and portfolio mix. Order intake was GBP 1.4 billion, of which 90% was from defense, which is a robust outcome after the exceptional order intake in the second half of 2024 and the temporary delay in contract awards caused by DOGE and the U.S. government shutdown. Win rates remained healthy, 37% of new business, reflecting our customer relationships and competitive positioning. Our rebid win rate was a bit lower than normal due to the loss of a low-margin air traffic control contract. The pipeline in North America has more than doubled to GBP 5 billion. And once again, defense continues to represent the majority of the pipeline of new business opportunities. Integration of MT&S has been successful and is delivering early benefits. In the first 7 months of ownership, it contributed GBP 9 million of operating profit after absorbing transaction integration costs. The strategic fit is proving to be exactly as expected, expanding our defense footprint by deepening customer access and enhancing our mission training and satellite communication capabilities. So moving on to U.K. and Europe, our largest division, which delivered another strong performance. Revenue increased 6% to GBP 2.58 billion, driven by 5% organic growth and a further 1% contribution from the acquisition of EHC, our German immigration services business. Organic growth was supported by the mobilization and ramp-up of several major Defence and Citizen Services contracts, including Armed Forces Recruitment, marine services for the Royal Navy, continued progress on electronic monitoring and some complex case management contracts. As expected, we have seen lower revenues in our Immigration business from harder borders in Europe and the ongoing shift in accommodation mix in the U.K. although revenues in the U.K. have not reduced the rate we expected at the start of 2025. Underlying operating profit was GBP 149 million, flat on last year, and margins remained healthy at 5.8%. While there were anticipated headwinds from Immigration and higher U.K. national insurance costs, these were offset by improved contract performance elsewhere in the division, including stronger contributions from Citizen Services and Defence. Order intake was excellent at GBP 3.7 billion, delivering a book-to-bill ratio of 145%. Win rates were also very strong, winning 60% of new business bids and 97% of rebids. The wins included several strategically important long-term awards, particularly in Defence, which accounted for 60% of the order intake. Finally, the U.K. have done a good job of not just winning new business, but also rebuilding the pipeline back to similar levels to what we saw at the end of the year at GBP 5.8 billion -- end of last year, sorry, at GBP 5.8 billion. The pipeline includes a broad range of opportunities across Defence, Justice & Immigration and Citizen Services. So turning to Asia Pacific, where the division delivered a resilient performance with good cost control, improving contract performance and some early progress on growth. This resulted in an improved margin despite the expected reduction in revenue following last year's Australian immigration contract exit. Revenue for the year was GBP 655 million, down 18%, recognizing the 12% organic decline associated primarily with immigration contract exit and the disposal of our Hong Kong business and some adverse currency movements of 5%. Underlying operating profit was GBP 24 million, up 3% on a constant currency basis. The margin increased to 3.7%, up about 60 basis points. And the improvement demonstrates the effectiveness of disciplined cost control to rightsize the organization and improved operational performance. We also delivered some important new business wins across the region. Notably, we secured a 6-year contract for Justice Transport Services in Victoria. Rebid win rates were strong at 91% and Defence performed particularly well with key extensions, including the Royal Australian Navy's warfare training contract. There were also some important rebid and extension wins in Citizen Services. And looking ahead to 2026, we have a good pipeline of both new business opportunities and rebids and extensions of existing work across Defence, Justice and Citizen Services. There's still work to do during 2026 to further build the APAC pipeline, but we're encouraged by the progress made in 2025. And turning now to the Middle East, where we have restructured the business in Abu Dhabi by entering into a strategic partnership with the sovereign wealth fund, Mubadala. This involves transitioning facilities management contracts into the new joint venture and combine Serco's capability and Mubadala's network in the Middle East to expand access to large, high-quality opportunities across the UAE. Whilst it's still early, we are encouraged by the breadth and scale of opportunities we are seeing. Revenue for the year was GBP 177 million, a reduction of 18%, driven by 12% organic decline, a 4% drop from accounting impact of Mubadala partnership and a 2% adverse currency. The organic revenue reduction primarily resulted from the conclusion in 2024 of our low-margin air navigation services contract in Dubai and lower variable project work compared with the prior year. Underlying operating profit decreased to GBP 13 million from reduced organic revenue with margin decline to 7.1%. We continue to focus on operational efficiencies, disciplined bidding and improving the commercial resilience of the region. During the year, order intake was GBP 150 million, and we've rebuilt a GBP 0.5 billion pipeline of new business opportunities. So now let me move on to cash and cash generation in 2025 was again strong with cash flow of GBP 219 million, representing trading cash conversion of 112%. And this maintains our track record since 2019 of averaging over 100% of profit converting into cash. And the result reflects the disciplined approach we take to timely and accurately billing to our customers, enabling them to pay us promptly. Our 2025 cash flows also benefit from a higher-than-usual level of mobilization activity and the associated deferred revenue. Adjusted net debt increased to GBP 206 million from the GBP 100 million at the end of last year. This increase reflects the GBP 245 million acquisition of MT&S, along with capital we've allocated to buybacks and dividends, partially offsetting the strong cash flow. The group continues to maintain a very strong financial position with year-end leverage of 0.7x EBITDA, below our target range of 1 to 2x. So on that, let me turn to capital allocation, which is in the context of strong cash generation, capital-light business model and the maintenance of a strong financial position. Our #1 priority continues to be to invest in organic growth. We further strengthened our business development capabilities and our operational delivery platform and mobilized major new contracts across Defence, Citizen Services and Justice & Immigration. These investments contributed to our record GBP 12.1 billion pipeline and strong order intake for the year. Reflecting our confidence in the group's financial position and outlook, today, we are recommending a full year dividend of 4.5p per share, an 8% increase on last year. And our third priority is M&A. This year, we saw the successful completion and integration of the MT&S acquisition, and we continue to assess additional strategic bolt-on M&A opportunities where they enhance our capability, expand our customer access and strengthen our competitive position. And finally, where we have surplus capital, we commit to return this to shareholders promptly. We completed a GBP 50 million share buyback in the second half of 2025 and today announced a GBP 75 million buyback to be executed in the first half of 2026. Inclusive of this newly announced buyback, Serco will have returned in total around GBP 650 million to shareholders through buybacks and dividends since 2021, demonstrating our commitment to disciplined capital returns when our balance sheet strength allows. So let me finish off with our updated guidance for 2026, which is largely unchanged from our pre-close statement. We expect revenue to be around GBP 5 billion for 2026, resulting in organic growth of 3%. The increase in revenue reflects a full year contribution from MT&S, ramp-ups of major contracts and the impacts of new businesses won in late 2024 and throughout 2025. These upsides offset the expected reductions in the immigration activity in both U.K. and Australia, which we expect to account for around a 3% organic headwind. We expect underlying operating profit of around GBP 300 million, over 10% higher than this year. This includes the continued positive impact of MT&S, productivity improvements across the group and the full year effect of multiple contract ramp-ups transitioning into steady-state operations. This result in a margin of around 6%, placing us at the top end of our medium-term target range. And net finance costs are expected to increase to around GBP 52 million, reflecting the annualized impact of interest on the new debt issued to fund the MT&S acquisition and the cost of the new GBP 75 million share buyback. We expect free cash flow of around GBP 160 million, which is unchanged from our pre-close statement and remains consistent with our medium-term ambition to convert at least 80% of our profit into cash. And finally, adjusted net debt is expected to finish 2026 at GBP 165 million, which is slightly different to the initial pre-close guidance of GBP 150 million and reflects the new GBP 75 million buyback, offset by the better-than-expected closing net debt position at the end of 2025. And with that, I'll hand back to Anthony.
Anthony Kirby: Nigel, thank you. Let me now turn back to the strategic and operational progress that we've made during the year and the opportunities that we see ahead. As you know, '25 has been a year where we've taken a much more deliberate approach to the areas where we see the greatest opportunity. We've refined our strategic direction to prioritize the geographies and sectors where Serco can deliver the most value, achieve the best growth and where our capabilities are strongest. The underlying demand for the essential services that we deliver remains remarkably robust at a time where external environments can often feel volatile. Across all of our geographies, we continue to see strong structural drivers that reinforce the need for trusted partners like Serco. In North America, budget in the sectors in which we operate continue to grow. We've remained resilient but not complacent through the changes in administration priorities, including the impact of the U.S. shutdowns. However, some short-term slowness in the system could persist into the first half of '26. But to remind you, we have more than doubled our pipeline in the U.S. to more than GBP 5 billion this year. In the U.K. and Europe, financial pressures remain acute, but demand drivers will endure, including rising Defence spending and sustained pressure on the asylum and migration systems, which reinforce our view of the long-term demand drivers. In the Middle East, modernization plans are creating new opportunities as well as likely increases in defense capability and security protections. And in Asia Pacific, encompassing the Indo-Pacific region, defense and infrastructure needs remain significant, albeit balanced against tighter budget conditions. But these dynamics point to an addressable market of over GBP 900 billion. Whatever the precise figure is, it is a large and growing market with clear opportunity for us to increase our share over the years ahead. In Defence, investment pledges remain substantial. The U.S. has proposed a defense budget of over $1 trillion. The U.K. has committed to 3.5% of GDP and European nations continue long-term multiyear rearmament and capability improvement programs. In Immigration, volumes may fluctuate, as Nigel has just alluded to, but long-term global pressures, conflicts, geopolitical uncertainty, climate-related displacement and economic instability continue to drive underlying demand. And in Citizen Services, technology is driving efficiency, yet the services that we deliver still depend on people, which means our exposure to displacement from automation is limited more than you might expect. Instead of eradicating our work, technology gives us an opportunity to enhance our offering further, making our services more efficient and improving the services to the citizens who depend and rely on them. And finally, to labor the point in this context, our role is to deliver critical mission public services. It helps shield us from sudden political policy reversals. Even during dynamic shifts in government policy or legislation changes, our operational roles remain essential for the delivery of critical services. So while the headlines may suggest rapid change, the reality is demand for what we do is anchored in long-term structural demand. So when you look across our international platform, the picture is clear. I said that we needed to become more focused on the areas with the greatest opportunities, being more selective and deliberate about the capabilities that we're developing and clearer about the geographies and sectors where those capabilities can best be deployed. North America, the U.K. and Europe remain our most addressable and scalable markets. The U.S. federal government is the largest buyer of goods and services in the markets in which we operate in the world. In the U.K. and Europe, governments face sustained financial pressure and are looking for partners who can deliver better outcomes more efficiently. And whilst those markets do offer us the greatest growth potential, that does not mean that we don't value our presence in Asia Pacific or the Middle East. We absolutely do, and we expect both of those regions to grow over the coming years. But we will be disciplined about where we deploy our capital and focus our growth attention. Across the group, we're therefore doubling down on the sectors where structural demand is the greatest and where our capabilities, track record and recent progress positions us well for sustainable growth. Our enhanced Defence platform, our deep operational expertise in Justice & Immigration and our breadth of services across the Citizen Services portfolio gives us a greater level of differentiation. Over the past year, we focused the organization on removing some inefficiencies, reducing complexity where we can and sharpening our ways of working. This has laid the foundations to make us more agile, more focused and more competitive for the years ahead. I also said we needed to make more progress in systemizing the sharing of best practice across the group, enabling us to leverage capability, learning and execution at scale, and I'll touch on some of the examples of those shortly. But at its core, Serco delivers mission-critical services where outcomes matter most, deploying people, technology and partners to perform at scale. So I'm now just going to touch on 3 of those growth sectors. So turning to Defence, the area where we see our greatest long-term opportunity. Defence now accounts for around 40% of the group's total revenue, inclusive of our joint venture operations. We're deeply embedded in the armed forces of the U.K., the U.S. and Australia. And we deliver critical services in the Middle East for the Australian Defence Force and provide essential training in New Zealand and Canada. We also deliver naval capability in Europe, including the maintenance of the minehunter vessels in Belgium. We bring over 60 years of proven delivery supported by increasing technological capability to Defence. In fact, that journey began at RAF Fylingdales where today, we operate and maintain the U.K. early warning radar, a critical part of both the U.K. and U.S. missile detection system. Our teams provide 24/7 uninterrupted support to this national security asset, demonstrating the depth and experience of Serco's expertise and long-standing credibility. And we're also working in Greenland, modernizing and maintaining assets for the U.S. Space Force. And we're active across all Five Eyes nations and throughout several NATO countries where Defence spending continues to rise with 24 members of NATO now exceeding or meeting the 2% of GDP spend targets. So whether it's training, personnel readiness, platform modernization or future-focused autonomous capabilities such as our USX-1 Defiant vessel, Serco is a critical partner to governments as they deliver on their national security ambitions. So a core differentiator for Serco is our ability to support the full life cycle of personnel services for the military from recruitment, to health, fitness and readiness to training, housing and family support through to veterans transitions. In the U.K., we're the prime contractor for the Armed Forces Recruitment program. The program brings together a set of best-in-class partners under a single Serco delivery model, and it's a flagship example of where our capability in program management, governance, stakeholder engagement and operational delivery truly differentiates us. In the United States, we continue to deliver the Army's Holistic Health and Fitness program, H2F. Mobilize last year is the largest human optimization and soldier readiness program ever fielded at scale. In Australia, we train the ADF Maritime Officers in a simulated environment at HMAS Watson's Bay, leveraging our MT&S capability alongside the established expertise of our broader defense teams. And through our joint venture, VIVO, we maintain 27,000 military family homes and more than 20,000 defense buildings across the U.K., a vital part of the personnel experience and family ecosystems of the military. All of this reflects, I believe, the strength of our personnel services platform that we've built, a platform that is increasingly cross geography, increasingly tech-enabled and increasingly central to the defense strategies of our customers around the world. And this platform of capability allows us to take our end-to-end offering to customers internationally. Turning now to Justice & Immigration, a sector where Serco brings deep operational expertise and a scale of delivery that is critical to government in the U.K., Europe, Australia and New Zealand. Across the countries where we do operate our Immigration business, we support and accommodate over 100,000 asylum seekers and refugees, reflecting the breadth of complexity of demand in which we help governments manage. That demand is driven by long-term global pressures, sustained migration flows, rising complexity in case management and the need for safe, high-quality and efficiently run detention facilities. While policy decisions can cause short-term fluctuations in migration volumes, the underlying demand signals remain strong. Border crossings remain a challenge and governments need agile, experienced operators as they seek innovation across both immigration and justice services. Our position across the criminal justice system is equally strong. Our unique role gives us a comprehensive understanding of the current and future likely challenges. This year, we operationalized additional prison capacity in the U.K., helping to alleviate pressures across the custodial estate. We also now monitor 28,000 individuals in the community on behalf of the Ministry of Justice in the U.K., which is a scheme that has proven to reduce reoffending by around 20%. So in a sector where trust and safety and performance matter profoundly, our operational track record positions us well. One of Serco's real strengths is our ability to operate an international platform of best practice, taking what works well in one part of the world and applying it elsewhere to lift performance, efficiency and outcomes across our global operations. A good example of our -- a good example of this is our prisoner escorting contract by moving expertise from the U.K. to help our colleagues in AsPac win the Justice Transport Services contract in Victoria, Australia, demonstrating how our capabilities can be deployed internationally. More broadly, our end-to-end role across justice from courts and secure transport to custody and prison management to electronic monitoring in the community gives us a system-wide insight that a few other providers can match. That perspective enables us to transfer proven operating models across geographies with confidence. The same platform approach applies in Immigration. Across Europe and the U.K., our teams have built deep capability in complex case management, safeguarding vulnerable people and running high-performing detention facilities. These learnings now shape how we design and deliver services globally, creating the consistency that customers expect across borders. The platform approach combines people, processes and technology developed in one geography, strengthened with lessons from another and deployed wherever needed, giving us the scale and assurance our government customers rely on to evolve their systems of management. Moving on to Citizen Services. Demand is often driven by budget pressures, the need to modernize infrastructure, digital integration and rising public expectations. Delivering services directly to the citizens remains an important part of our strategy. Its breadth gives us the agility to respond to shifting government investment priorities and to direct our capability towards the areas of greatest demand. Across this sector, we deliver directly services that touch millions of people's lives every day. We support people navigating complex welfare and employment systems, helping long-term unemployed individuals back into work. We also run high assurance citizen operations, including helping people access much needed health insurance in the United States, delivering essential services with speed, accuracy and compassion. So while Citizen Services can be considered to be broad by nature, I consider that, that breadth and diversity is a strength. It enables us to adapt quickly, respond to evolving customer needs and bring our capabilities to the areas where we can add the greatest value. As we look across the Citizen Services portfolio, the defining strength of our ability is to blend delivered impact with technology-enabled efficiency. In North America, our work for the Centers for Medicaid and Medicare Services shows what this looks like at scale. For more than a decade, we've operated that business, and we've now deployed advanced automation and digital tooling to improve the quality and speed of the essential services, managing around 10 million customer notices a year, embedding AI technologies and completing complex case management 3x faster with compound efficiency of more than 500%. And in the U.K., we're applying the same innovation and those services that we depend on to help people through the Restart program. That employment program, we've piloted our technology to equip job coaches with new AI-enabled case management tools. It's reduced administration time by around 75%, improved case note quality by nearly 20% and most importantly, allowed our people to provide human-centered support to help the people back into sustainable employment. That combination of people who deliver with care, expertise, which is coupled with technology that accelerates important and impactful outcomes is what makes our model distinctive. It's how we help governments deliver better outcomes at lower cost and how we will continue to transform essential public services that millions of citizens depend on. So bringing that together, the market dynamics across our sectors remain compelling. Structural demand is intensifying, driven by geopolitics and Defence postures, fiscal pressures and the need for innovation, and those forces show no sign of easing. Against that backdrop, Serco's platform is well aligned to our customers' priorities. On the whole, we operate at scale in mission-critical services that governments rely on, which provides resilience and underpins long-term opportunity. We've sharpened our focus on the geographies and sectors where demand is strongest and where our capabilities are most differentiated. And that gives me confidence that Serco is well positioned to capture the growth opportunities in the years ahead. So to conclude, let me just reiterate my key messages. Our 2025 performance was strong and leaves us well positioned to deliver against our '26 guidance. We're advancing the organization to achieve our goals and doing so with the same rigor that has underpinned our success over the past 5 years. That discipline across growth, competitiveness and operational excellence is what will continue to drive our performance in '26 and beyond. We're prioritizing our investment in key growth markets and doubling down on the sectors where our differentiated capabilities and technical depth align with the strong structural drivers. So we're advancing the systems and leadership needed to scale our business for success, building a stronger executive team and aligning our leaders around a growth and performance culture. This gives me confidence in our ability to maintain well-governed momentum, confidence that we are well placed as ever to seize on the opportunities ahead and confident that Serco will deliver as an agile, well-governed business able to course correct when needed and to deploy the best talent to drive better outcomes for our customers, our colleagues and our shareholders. And I think we'll now move to Q&A. Arthur, do you want to go first?
Arthur Truslove: Arthur Truslove from Citi. So 3 for me, if I may. So the first one, are you able to just talk about the notable contract implementation costs? So what were the sort of big ones in '25 versus '24? And then what are you expecting in '26 to just sort of get a feel for what the impact of that will be going forward and indeed last year? Second question on competition. So I just wondered sort of how the competitive landscape, particularly in the U.K. is evolving, especially in the context of better margins? And if you could sort of comment on how that's evolved in the last few years as well, that would also be interesting. And then finally, on U.K. migration, I guess, migration more broadly. I guess my question really is, we've all seen these sort of large centers being suggested. What do you -- how do you think the model potentially evolves? I know it's a difficult question in terms of what happens with migration and kind of what are the sort of best and worst case scenarios for you?
Anthony Kirby: Arthur, thanks for the message. Nigel, do you want to take the cost of mobilization?
Nigel Crossley: Yes.
Anthony Kirby: Shall I start with the competitive landscape?
Nigel Crossley: Yes.
Anthony Kirby: Yes. So in the U.K., we haven't really seen that much of a change in the competitive landscape, probably over a number of years actually. I think the competitive landscape has remained pretty stagnant. I think we've -- typically, when we're -- depending upon what it is, we are bidding in the sector we're bidding in, we typically bid between 5 and 6 competitors dependent upon what the services are that are being procured. So we've not really seen any significant change in that space. In terms of migration, let me take the conversation more broadly first, which is, migration flow is likely to continue to exacerbate. I've run through the reasons why we think those structural drivers will endure. In terms of your specific point on the U.K., look, we stand really clear side-by-side with the customer. When they ask us to provide good quality, innovative solutions, we -- it's our job to provide those solutions to them. So medium and large sites, we're working with the customer. It's the customer that decides where those medium and large sites are. Our job is to make sure that we can stand those facilities up once the customer has procured them. But I will just make the point again that we've made previously. There is a priority to come out of hotels where our hotels were 50 -- just over 50% less now than where they were 12 to 18 months ago. So this is a program that we have been working with the customer on to achieve their priority.
Nigel Crossley: And then on the contract mobilization costs, we've obviously had a busy year because we've had some big wins. Most of those costs are probably in the U.K. And we've seen probably a protracted mobilization on the electronic monitoring for various reasons. We know that we've got the Armed Forces Recruitment contract that we started earlier this year. So those are the kind of things that are probably higher than we'd ordinarily expect to see, maybe to the tune of about GBP 20 million in the year.
Anthony Kirby: I think what we'll do is, we'll start with David and then we'll go right across that row where all of the questions.
David Brockton: It's David Brockton from Deutsche Bank. Can I just ask 2 just around pipeline, 1 contract pipeline and 2 acquisition pipeline. Within that contract pipeline, are there any opportunities we should be aware of that are capped in terms of size? So any bigger ones in there? And if you could just talk about how you see that evolving over the course of the year as well? And then secondly, in respect to the acquisition pipeline, can you just give us an update on how that looks given that you've -- I guess, you've only committed to a buyback for H1, so clearly keeping some powder dry there.
Anthony Kirby: Yes. Shall I do acquisitions, Nigel, you do the pipeline? So in terms of acquisitions, we're in a really strong position where we have the optionality that when we look at opportunities that present themselves or we go looking for. We're in a strong financial position from a balance sheet perspective to be able to execute and pull that key part of our capital allocation policy. I'm obviously not going to go into detail in terms of things that we're looking at, at the moment. But it is a liquid market, particularly in the growth sectors that we are looking to grow and in the regions that we're looking to expand our businesses in. And I think we've said previously, the U.S., Europe and the U.K. remain at the top of that list. But that doesn't mean that we preclude anything in other parts of the world as well. So there are some things in the pipeline that we're looking at. It's clear that we've said in the stock exchange announcement that we'll review the capital allocation policy at the half year again. But I think our track record of returning surplus cash to shareholders if we've got no M&A in the pipeline -- in the foreseeable pipeline is something that we will continue to do as we move forward.
Nigel Crossley: Yes. And then on the pipeline, look, we've got a good mix of new opportunities across our pipeline. And we've got a couple that are at the top end of our range of up to GBP 1 billion where we cap them. One is a training contract in North America, actually in Canada. And the other one is a logistics contract for the U.K. MOD, which we are potentially looking at. Those are both not going to start until -- for some time yet. They're a bit further out. And then there's a big -- over half of our contract -- over half the pipeline is on contracts that are less than GBP 300 million. So there's a good spread of cover across all the sectors and of various sizes.
Christopher Bamberry: Chris Bamberry, Peel Hunt. Three questions, if I may. You're obviously sharpening the focus on Defence, Justice & Immigration and Citizen Services. What does that mean for health and transport? Secondly, can you talk a little bit more now you're 9 months into MT&S, the positives and the negatives against your original expectations? In particular, can you give us any concrete examples on synergies on the pipeline? And the final one, when you talked about -- Nigel, about the margin in North America, I mean, parking integration being absent this year, you said that the margin would improve as contracts mature. I guess given the profile of your stuff you're winning, is that more kind of -- is there going to be see much of that in '26 or is it more kind of '27 or further out? So if you keep winning stuff, is it -- is that kind of portfolio effect kind of dilutes that benefit?
Anthony Kirby: Do you want to do the last one first?
Nigel Crossley: Well, I'll do the first. So on margin in North America, yes, you're right, there's GBP 6 million of integration costs. So that's not 40, 50 basis points of the margin. So that gets you back over 10%. When we look at what we're bidding, there's a range of what we're bidding actually. So there's some stuff that's cost plus that tends to be slightly lower margin. There's some stuff at the higher end, which is fixed price and above our average. So I think over time, we'll see broadly -- our profile broadly stays similar. I think we'll get more economies of scale as we continue to grow. And certainly, when we bring -- we brought MT&S on, we've got economies of scale in our fixed costs there as well. So we're leveraging our fixed costs well. I think all those things will contribute to at least keep that margin at 10%.
Anthony Kirby: Thanks, Nigel. So if I just pick up, Chris, your point on Health and Transport. So Health and Transport fall under Citizen Services, particularly because we're delivering services directly to the citizen. We're not actively growing in our Transport business in the majority of the world. We will retain and rebid our contracts that we currently operate in Transport. We think we operate some really good transport businesses, be that our joint venture with Merseyrail or NorthLink Ferries up in the Highlands and the Islands and also some transport businesses in the Middle East and the U.S., but they're quite small. And then in health, our health FM, which is a soft and hard FM business in -- predominantly in the U.K., we're looking at FM across our horizontals where we deliver FM services. So if an opportunity presents itself for us to go and bid, we will, but we're not actively deploying our growth capital into those lower margin area businesses. In terms of MT&S, I think we said at the outset, we wanted them to concentrate on the business that they had in their current pipeline that they brought across with them at the time of the acquisition. And then we looked at the second area of the pipeline, which is where can we bring MT&S' capability and our North America capability together in order to go and win and retain contracts with the benefits of both organizations combined. And then we talked about what we call our Horizon 3 pipeline, which is the international opportunities that MT&S and the wider Serco organization can bid collectively on. In the U.S., we've started to win some new business that was in the pipeline in MT&S, some small deals. The team are just rescrubbing the pipeline for the North America business, and we'll look to move internationally as we get further down the line this year.
Alex Smith: So Alex Smith from Berenberg. Just 2 from me. Just one more -- first on the U.S. market following kind of the slowdown or pause late last year and kind of how you're seeing activity kind of restart? Or kind of is there a lag effect of starting again following that kind of like pause or slowdown in activity? And then second is just on the APAC business. You kind of mentioned some potential cost savings, but also some new contracts coming through. I guess it's still early days post Australian immigration contract, but any update here on outlook for that business would be helpful.
Anthony Kirby: Shall I do the U.S. and you do Asia Pacific?
Nigel Crossley: Yes.
Anthony Kirby: Okay. So in the U.S. again, drawing attention to, we've doubled the size of our pipeline. We had some significant wins towards the end of 2024. Our win rate at the end of the second half of '24 was very good in the U.S. So we had to replenish the pipeline. We've done that. It's now twice the size it was. In the U.S., in terms of the shutdown, there's been limited impact. We haven't actually seen too much of an impact in the second half of '25 other than some decisions are slightly slower to be made. There's no degradation in what's coming to market. There's no degradation around the timing at which opportunities are being presented to the market. What is slowing slightly in the system, which all of our U.S. peers have said as well, is the decision -- the amount of people making the decisions is less now because of what -- because of the impact of DOGE and the reduction in the federal government employee numbers. So fundamentally, there are just fewer people making the same amount of decisions, but we're not seeing the number of decisions being reduced. And we probably expect that to continue for a little bit into '26, just as people get back to work and feet under the table.
Nigel Crossley: And then in Asia Pacific, I mean, I largely said this in my presentation, but we set an objective to rightsize the infrastructure of the organization. We've made really good progress on that over the last 2 years. And I think that is under review, but is largely done, but ongoing under review. There's some contracts that were underperforming. We have made progress on those. I think there's still a bit further to go. But the big one is really growth. And we know that the lead time in this business between finding an opportunity, bidding it, winning it, mobilizing it and making it profitable is long, and we have to hold our patience on that. But we do feel encouraged by some of the progress we've made this year. Our rebid win rate has been strong this year. We've won some stuff. And we feel quite good about some stuff that's coming up in the first half of this year. So there's early signs, but not yet done. I think there's more work to be done. And I think it's really getting that business back to the scale that we need it to be and the margin needs to be -- needs a little bit of patience to win those new pieces of business, but an encouraging start, I would say.
Michael Donnelly: It's Michael Donnelly from Investec. Just one for me, Anthony. We've spoken in the past about the revenue profile of the U.S. naval contracts and that there are some, I think, transactional revenues in there that are dependent on the fleet being in harbor or base ported. If the U.S. fleet is in for a potentially very extended period of operational deployment, can you, first of all, tell us how much of the $1 billion of North American defense revenues would conform to that revenue profile? And then what, if any, offsetting revenue items there might be as a result of such an extended deployment?
Anthony Kirby: Okay. Can I just take the strategic part of your question and Nigel might be able to give you the detail on the specifics. We do generally operate in one part of our Defence business in ship modernization, maintenance, asset engineering, refitting of navigation systems, radars, et cetera. That is generally done in port in the U.S. However, we also operate on behalf of the U.S. military in other parts of the world where their ships are in port, where we see that they have agreements with other countries where asset and engineering activity can take place outside of the U.S. And we also have a number of cleared individuals that can undertake that work in different parts of the world, which run into the hundreds of employees, not into the tens. So if there is a requirement for us to undertake more work outside of the U.S. ports, then we've got experience of doing that, and we're currently doing that at the moment. And if we need to we will continue to grow that.
Nigel Crossley: Ironically, 2025 was one of our best years for that kind of transactional task order work is what we call it around ship modernization. So we've seen good momentum there. We continue to have stuff that we're bidding and is live and we're waiting for decisions on. So I think it's too early for us to call. Where does it sit in our portfolio? It is of a reasonable size, but it's less than GBP 100 million. And it is cost-plus short-term, cost-plus work, so it's margin tends to be at the lower end. So from a delivering financial targets, I'm probably less worried about that. And it's always something that we've had a little bit of variability in as you look over each of the years. Jane?
Jane Sparrow: Jane Sparrow from JPMorgan. Just a couple of follow-ups on the electronic monitoring and Armed Forces Recruitment contracts in the U.K. On the first one, you said you'd have the extended mobilization period. Can you talk about if that contract is now where you want it to be following that extended period, where it is relative to your original expectations? And on Armed Forces Recruitment, how that is ramping up, if there's sort of been any either pleasant or unpleasant surprises as you've started to mobilize it?
Anthony Kirby: Okay. Well, thanks very much for the question. Shall I lead off and then Nigel can help with any of the finances on electronic monitoring? So electronic monitoring operationally is in a very strong place. Our KPIs for a number of consecutive periods now have been above where our expectations were and where our customers' expectations were in terms of the performance of that contract. We now have -- it's around 1,000 people working on electronic monitoring. They do a superb job every day of the week, making sure that we can work with the customer to monitor the 28,000 people that I said we've currently got in trade. You will have seen the changes in sentence and legislation may mean that more people will be monitored in the community, which the government have previously communicated. We stand ready to be able to stand up to meet those changes in volumes. There's no issues there as we look through the pipeline for the rest of this year. But I'm exceptionally proud of the position that electronic monitoring is now in operationally and strategically. In terms of AFR, Armed Forces Recruitment, interestingly, I was down at Army headquarters only 2 weeks ago to have a full day review of the program. So your question, Jane, is quite timely. But look, the Armed Forces Recruitment is probably one of the most complex procurements the MOD have ever procured. It's the first time since the Second World War that the tri-services will be recruited across all branches of the U.K. military. So that is a privilege that we hold dear that we've been entrusted to deliver this through the support of the 8 subcontractors that we've got going. Everything is going according to plan at the moment. Of course, we were going through each of the milestones, there are hundreds of milestones. There's always going to be 1 or 2 that are moving to the left or to the right. But I came away from that conversation with confidence that the authority and team Serco are working collectively and collaboratively to make sure that we can achieve the mobilization, which is important to note is not until 2027, so we don't become responsible until 2026. On EMS, anything on the numbers?
Nigel Crossley: Look, we're very clear on what the operational metrics are that we have to improve on, and we track them really closely, and we're making really good progress. And I'd say we are where we expect to be. There's a bit further to go, but I think we've made a lot of the progress that we wanted to make, and we will see a material improvement in 2026 versus what we saw in 2025. Andy?
Andrew Brooke: It's Andy Brooke from RBC. Nigel, you've gone out on a high again on the free cash generation. I think GBP 50 million better than you guided to in December. What sort of drove that? I know we had this very conversation, I think, 12 months ago, but is there any more structural improvement to come, especially on the debtor side?
Nigel Crossley: Yes. So we're improving our free cash flow. We've been 100% focused on our debtors. We've done nothing on our creditors. In fact, if anything, we pay our creditors even more promptly now than we did previously. And over the last 5 years, we've knocked 20 days off our DSO. So that's been worth GBP 250 million of improvement in working capital over 5 years. And we've done that, as I said in the presentation, by just getting more disciplined at getting sales invoices out quickly, accurately, so our customers can sign them off quickly. And once they've done that, that pay us really promptly. So that's good. So we've made progress there. I have to say I'm handing over to Mark a barrel that's pretty empty on opportunity there. I think we've done a good job, and I'm not sure how much more there is to go. As far as the year-end is concerned, look, we have some big invoices that are coming at the end of the year. They're going to pay us the last week of December, the first week of Jan. We don't know. We're probably a little bit cautious with that guidance, and we consistently do a bit better than that. So that's the difference between December and what we're saying today.
Andrew Brooke: And while I've got the mic, could I just say on behalf of everyone in the analyst community, a massive thanks. You've been a pleasure to deal with over the last number of years. You've done a phenomenal job helping to turn the company around. Huge congrats on what you've achieved and all the best for the future. And I hope your golf handicap comes down a bit more.
Nigel Crossley: You and me, too.
Anthony Kirby: Any questions on the line?
Operator: [Operator Instructions] Our first question comes from the line of Joe Brent with Panmure Liberum.
Joe Brent: Just 2 questions from me, please. Firstly, in the outlook statement, you referenced elevated geopolitical tension is likely to remain a feature of the market. Could you just elaborate on how you expect that to impact your business, recognizing it's a fluid situation? And secondly, I think you talked about Defence revenues being around 40% of the business, which I presume includes MT&S on a sort of pro forma basis. Can you give us the same number from a profit perspective? I expect it to be quite a lot higher than that.
Anthony Kirby: Do you want to do the second one?
Nigel Crossley: Why don't I do the second -- Joe, we're not going to give a specific profit number. I think what we would say is that, the average margin across Defence is above our average margin across the group, and we expect that to continue to improve.
Anthony Kirby: Thanks, Nigel. That's quite a heavy hand you've got on your keyboard there, Joe. But just coming back to your second -- your first question, sorry, in terms of the outlook for geopolitical instability to continue. Look, the world in terms of geopolitics is probably likely to endure in its current form for some time to come. We don't know how long that will be. One thing I think we can be sure of is, through recent events and through events that have been happening for the last 5 to 6 years, you can see that countries around the world are suggesting increasing in defense spending and increases in spending on critical national infrastructure to secure their borders. One of the outcomes of geopolitical uncertainty and instability is greater defense spending. And the second structural driver are around migration flows. So typically, you would see following instability and geo instability, the migration flows continue to change, move and diversify around the world. So that is the point that we were making in terms of as those structural drivers continue to endure, we stand ready to support our customers in those 3 major sectors that we've spoken about.
Joe Brent: So it's meant to be sort of positive for your business, not a negative?
Nigel Crossley: Yes.
Anthony Kirby: I think, Joe, the summary answer to that is yes. I think whenever we've seen an increase in geopolitical instability, you see greater defense spending, you see greater spending in immigration and migration services, et cetera. So the answer to that question is yes.
Operator: There are no further questions on the conference line. I will now hand over to the management for closing remarks.
Anthony Kirby: Fantastic. Well, look, just to thank everybody for your time. I know it's been a very busy day of announcement. So thank you all very much for making the effort to come and see us. Reiterate Andy's comments to Nigel. Nigel will be with us for a bit of the road show, and then we will close it there, I think.
Nigel Crossley: Very good.
Anthony Kirby: Thank you all very much.
Nigel Crossley: Thank you.
Anthony Kirby: Have a good and safe day.